Operator: Good morning, ladies and gentlemen, and welcome to Orla Mining's Conference Call for the Fourth Quarter and Year-End 2022 Results. My name is Rob, and I will be your conference operator today. [Operator Instructions] Please be advised that this call is being recorded. I would like to turn the meeting over to Andrew Bradbury, Vice President of Investor Relations and Corporate Development for Orla Mining. Please go ahead, Mr. Bradbury.
Andrew Bradbury: Thank you, operator, and welcome to Orla's fourth quarter and year end 2022 results conference call. We will be making forward-looking statements during today's call, and I would direct you to the first and second slides of the presentation which contains important cautionary notes regarding these forward-looking statements. All dollar amounts discussed today will refer to U.S. dollars, unless otherwise indicated. On the call this morning is Orla's executive team. I'll now pass the call over to President and Chief Executive Officer, Jason Simpson.
Jason Simpson: Thank you, Andrew. Our fourth quarter was highlighted by our efforts and sustainability that underpin all our activities. This includes strong health and safety performance, sound environmental management and creating value for our stakeholders. One very recent example, which you may have seen in media, is the signing of a collaborative agreement with the government of Zacatecas, which will integrate local suppliers into our business operations. We know that our mining investments have a multiplying effect on our community stakeholders. And this agreement intends to grow that opportunity. The next thing I would like to highlight is that we set another production record at Camino Rojo by maintaining the processing rate above nameplate design. The production outperformance was matched with impressively low cost, generating strong cash flow. This strengthened our already robust balance sheet. In less than one year from commissioning Camino Rojo, we have reduced our net debt to $50 million and are processing at rates, which exceed nameplate capacity. Orla has formed a foundation upon which we can build the company. Our strong financial position will support growth through our prospective exploration portfolio and development stage projects. Stepping out from the quarter and looking back at the full year, 2022 was a transformational period for the company as we commissioned the Camino Rojo oxide mine on time and under budget. Since commissioning, we consistently outperformed on production, enabling us to increase guidance in our very first year as producers. This overperformance included our cost containment, which finished at the low end of our cost guidance and remains industry leading. The strong cash margins led us to building cash and we ended the year with $96 million. By every measure, 2022 was a tremendous success for Orla Mining. Andrew Cormier, our Chief Operating Officer, will provide a quick snapshot of the operations. And then Etienne Morin, our Chief Financial Officer, will summarize the financial results. Over to you, Andrew.
Andrew Cormier: Thank you, Jason. Keeping our employees safe as we grow the company is of the utmost importance to the company. At the end of February, Camino Rojo has completed over 1.5 million hours without a lost time injury. During the quarter, site activities continue to focus on optimizing the mining, crushing, stacking and the process plant operations. Mining rates continue to steadily increase at 2.2 million tonnes of ore remained at a strip ratio of 0.7 at an average grade of 0.69 grams per tonne of gold. For 2022, we mined 8.3 million tonnes at a strip ratio of 0.67 at an average grade of 0.71 grams per tonne. The average grade of ore processed during the fourth quarter was 0.78 grams per tonne gold in line with plan and the average rate of processed for the full year of 2022 was 0.82 grams per tonne of gold, approximately 5% higher than planned. An average stacking rate of 18,251 tonnes per day was achieved above nameplate capacity of 18,000 tonnes. This demonstrates the strong project execution and exit startup of the operation by our site teams. Camino Rojo achieved record quarterly gold production of 32,017 ounces of gold in the fourth quarter, primarily a result of an increased ore stocking rate during the quarter, which achieved a new quarterly record of 19,591 tonnes per day, 9% above nameplate capacity. For the year, we produced almost 110,000 ounces of gold which is at the high end of our increased guidance. Mine ore tonnes in grade are reconciling well to the block model and process recoveries to date are in line with the metallurgical recovery model. We continue to see the lumped blocks of waste tonnes convert to ore tonnes in the upper benches of the pit. The Camino Rojo mine has demonstrated consistent delivery of results in 2022 and we expect this to continue in 2023. Over to Etienne Morin, Orla's Chief Financial Officer to discuss the financial results for the quarter.
Etienne Morin: Thank you, Andrew. During the quarter, we sold over 32,000 ounces at a net realized price of $1,743 per ounce resulting in $57 million in revenue. Net income for the quarter was $18.7 million or $0.06 per share and after adjusting for unrealized foreign exchange losses, adjusted earnings were $20.7 million or $0.07 per share. For the year, adjusted earnings were $57.1 million or $0.21 per share. Should be noted that during the quarter, $5.6 million in exploration and development costs were expensed as we continue to explore and advance our projects in Mexico, Panama and Nevada. Total expensed exploration and development costs for the year were $18.9 million in line with our guidance. Cash costs for the fourth quarter was $453 per ounce sold, while all-in sustaining costs was $634 per ounce. For the full year 2022, cash cost was $449 per ounce while all-in sustaining cost was $611 per ounce at the low end of our guidance range. At this level, this really puts Orla as one of the lowest cost gold producers. Cash flow from operating activities before changes in non-cash working capital was $55.1 million for the quarter and $111.1 million for the year. We've accrued approximately $34 million in income taxes and special mining duties in Mexico during the first full year of operation in 2022, that amount will be paid this month. So in Q1, cash flow from operating activities before changes in non-cash working capital will be impacted by this large tax payment. Starting in May, we expect to start paying taxes on a monthly basis. Also worth noting that during the quarter, we made our first quarterly principal repayment at our credit facility of $5.6 million. The term portion of our credit facility amounts to $100 million and is repayable in equal quarterly installments over a five-year period. Therefore, in 2023, we'll be paying back $5.6 million per quarter for a total of $22 million. During the fourth quarter, we also made our second of pre-payments related to the layback agreement for the amount of $15 million and final payment of $22.8 million to Fresnillo will be made in December of this year. Overall, at the end of our first year of production, we're feeling very positive about the strength of our financial position having generated $82 million of free cash flow during the year and finishing 2022, as Jason mentioned, with a cash position of $96 million. This allows us to comfortably begin paying some of our obligations in 2023, starting with payment of taxes in Mexico and also attending to our balance sheet by repaying a total of $45 million in debt and obligation this year. Our strong cash generation will also allow us to increase investments in our growth to exploration and development, allocating $35 million to exploration alone this year. With that, I'll pass it back to Jason.
Jason Simpson: Thank you, Etienne. Moving into 2023, we pre-released our 2023 guidance in early January and we are targeting to produce 100,000 to 110,000 ounces of gold with all-in sustaining costs of $750 to $850 per ounce. We are planning to spend $35 million in exploration with most expected to be expensed. This expense accounting should be considered when estimating our earnings per share. We will also continue to deleverage our balance sheet with $45 million in debt and Fresnillo payments. As a reminder, here is Orla's current portfolio of assets that we believe can generate long-term value for stakeholders. It is a suite of high margin low capital heap leach projects in combination with long-term sulfide projects located on prospective land packages. As a junior producer, we believe our depth of assets is differentiating. To leverage our prospective land packages for growth, we are investing as we stated $35 million in exploration during 2023 as we seek to make discoveries and add resources. As you see in our recent series of press releases, exploration is a cornerstone of our growth plans. And with that, I'd like to pass the call to Sylvain Guerard, our Senior Vice President, Exploration, to walk you through the exciting work that he is leading. Sylvain?
Sylvain Guerard: Thank you, Jason. Our Exploration in Panama is weighted to the first half of the year. We have been encountering positive results at La Pelona in 2022 and we are testing continuity of gold copper mineralization in the oxide and sulfide zones. We are also dual testing La Prieta in evaluating the inclusion related gold copper potential. In Nevada, we accelerated exploration upon the completion of gold standard acquisition and we have had some quick wins at multiple satellite targets with potential resource additions for coming in the year ahead. At property scale, our exploration team has defined multiple priority targets that will be drill tested for potential extension of known mineralization and new discoveries. The project is progressing toward the record of decision from the U.S. Bureau of Land Management. We are excited about this new asset and upside potential. It fits nicely into our portfolio and strategy of creating stakeholder value by responsibly building and operating mines generating cash in prospective jurisdiction with superior geology. In Mexico, our increasingly intensive drilling into the Camino Rojo sulfides is shaping our thinking about the potential development of the asset. The directional program at the new drilling orientation continues to return a higher grade gold intercept, about 2 grams per tonne over width greater than 30 meters. This information is transforming our views on the sulfides and open the potential for underground resource. And we are advancing with the 34,000 metallurgical program to infill the sulfide zone. The objective of this program is to reinforce the geological model and to continue to define the continuity of higher grade mineralization, growing the ounces available for an underground resource. The 2023 drilling is expected to increase the confidence for the development of a preliminary economic assessment that contemplates underground mining by infilling the higher grade portions of the deposit with 50 meters spacing of South-oriented drill holes. Overall, drilled spacing at the end of this next phase, including historical North-oriented drill hole, will be 25 to 35 meters. Upon the completion of the 2023 additional south-oriented drilling and test work programs, a PEA is expected to be completed based on the optimal development scenario for Orla. Another new finding in 2023 was the revaluation that the sulfide mineralization remain open at that as evidenced by the mineralized during intersections extending beyond the current mineral resources confirming with some drilling. We are calling this the deep potential. Our deeper holes along with historical drilling has intersected significant mineralization indicating the system is open at that along key structure into deeper stratigraphy, offering new down plunge extension potential of the Camino Rojo sulfide deposits. This area would be interpreted as the feeder system for the currently defined Camino Rojo deposit. Approximately 20% of all sulfides dual meters in 2023 will extend into the deep potential stratigraphy. Additional metallurgical testing will also be part of the 2023 program. We also intend to drill more target on the original program after encouraging results in 2022 at Guanamero, which was our first ever diamond core ore outside Camino Rojo deposit area. The Guanamero target is located 7 kilometer northeast of Camino Rojo mine along the mine structural trend. The original program will include core and RC drilling and also geophysical and geochemicals service to keep generating new targets. The region host massive deposits like Camino Rojo and Peñasquito, and we believe we are just getting started on our property. On this, back to Jason.
Jason Simpson: Thank you, Sylvain. We always come back to our formula for value creation. Our strategy is underpinned by continued performance at Camino Rojo, which is the foundation for our growth. We will continue to focus on managing the health and safety of our workforce, the protection of our local environment, while controlling costs and generating cash to build our future growth. Thank you to our stakeholders, including employees, local communities and shareholders who enable our efforts. At this point, I'd like to open the call to questions and hand the call back to the operator.
Jason Simpson: Thank you, operator. Since there are no questions, I would like to thank the team for their continued effort in managing our operations and advancing our projects. I'd also like to extend an offer to all the analysts who are on the call and others if you have any questions, the Orla management team is always available to answer them. So never hesitate to reach out to Orla should you have any questions. I want to thank everybody for their attention and time today. Have a nice weekend.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.